Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Autodesk Third Quarter Fiscal Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to you speaker today, Mr. Abhey Lamba, Vice President of Investor Relations. Please go ahead sir.
Abhey Lamba: Thanks, Operator, and good afternoon. Thank you for joining our conference call to discuss the results of our third quarter of fiscal 2020. On the line is Andrew Anagnost, our CEO; and Scott Herren, our CFO. Today's conference call is being broadcast live via webcast. In addition, a replay of the call will be available at autodesk.com/investor. You can also find our earnings press release and a slide presentation on our Investor Relations Web site. We will also post a transcript of today's opening commentary on our Web site following this call. During the course of this conference call, we may make forward-looking statements about our outlook, future results, and strategies. These statements reflect our best judgment based on factors currently known to us. Actual events or results could differ materially. Please refer to our SEC filings for important risks and other factors that may cause our actual results to differ from those in our forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. During the call, we will quote a number of numeric or growth changes as we discuss our financial performance, and unless otherwise noted each such reference represents a year-on-year comparison. All non-GAAP numbers referenced in today's call are reconciled in the press release of slide presentation on our Investor Relations Web site. And now, I would like to turn the call over to Andrew.
Andrew Anagnost: Thanks, Abhey. Building on our strong performance in Q2, we delivered another quarter of solid execution in results with revenue, billings, ARR, earnings, and free cash flow coming in ahead of expectations. For the first time we delivered over $1 billion in quarterly billings outside of a fourth quarter, and our last twelve months free cash flow came in at nearly $1 billion, breaking yet another company record. Broad based strength across our entire product portfolio and all geographic regions drove these results. We have strong momentum in Construction, are gaining share in Manufacturing, and we continue to make strides in converting the non-paying user base. Before we dig into details from the quarter, I want to recognize the hard work put in by the entire Autodesk team, especially our colleagues in the bay area who ensured that our business did not experience any disruptions despite our San Rafael office, and many employees’ homes being without power due to wildfires in the final days of the quarter. Our business continuity planning was flawless and the entire team went the extra mile to ensure that we did not miss a beat under very difficult circumstances. Now, let me turn it over to Scott to give you more details on our third quarter results as well as details of our fiscal 2020 guidance. I’ll then return with insights on key drivers of our business and provide an update on the progress of our strategic initiatives before we open it up for Q&A.
Scott Herren: Thanks, Andrew. As Andrew mentioned, revenue, billings, ARR, earnings and free cash flow all performed ahead of expectations during the third quarter. Revenue growth of 28% was driven by strength across the board, with subscription revenue as the biggest driver. Acquisitions from the fourth quarter of last year contributed four percentage points of growth. The revenue upside versus our guidance was largely driven by deals with up-front revenue recognition, including those with the federal government or that include certain products like Vault and VRED. Some of these transactions were targeted for the fourth quarter and closed early. Overall, we’re very pleased with our strong execution in the quarter. Total ARR grew by 28%, which is impressive in light of a tough year-on-year compare. Our Cloud ARR grew164% tied to strong performance in Construction. Excluding $113 million of ARR from acquisitions, growth in our organic cloud portfolio came in at 35%. BIM 360 Design was once again the biggest driver of our organic Cloud revenue growth, with strength across all regions. Indirect and direct revenue mix remained at 70% and 30% respectively. Revenue from our AutoCAD and AutoCAD LT products grew 29% in the third quarter. AEC revenue increased 36% and Manufacturing rose 15%. Geographically, we saw broad-based strength across all regions. Revenue grew 30% in Americas and APAC, while EMEA grew by 24%. Our maintenance to subscription program, or M2S, now in its third year, continued to yield great results. The M2S conversion rate increased to an all-time high of 40%. The uptick in the conversion rate was expected as our maintenance renewal prices increased by 20% in the second quarter, making it more cost-effective for customers to move to subscription. Of those that migrated, upgrade rates came in at 21% in line with expectations. Net revenue retention rate continued to be within the range of 110% to 120% during the third quarter, and we expect it to be within this range in Q4. Similar to Q1, some of the deeply discounted three-year subscriptions from a previous promotion came up for renewal. This group of customers renewed closer to list price, and we were pleased to see the total value from the entire cohort grow. Billings grew 55% to more than $1 billion. The growth was driven by our organic business, contributions from Construction, and the return of multi-year contracts closer to historical levels. We believe our customers’ willingness to make long-term commitments to our solutions underscores the business criticality of our products. And we are closely monitoring the rate of multi-year buying to ensure it doesn’t create a headwind to future cash flows. Remaining performance obligations, or RPO, which is the sum of billed and unbilled deferred revenues, rose 32% and 6% sequentially to almost $3 billion. Current RPO, which represents the future revenues under contract expected to be recognized over the next 12 months, was $2.1 billion, an increase of 23%. This is a solid leading indicator of the strength of our business. On the margin front, we realized significant operating leverage as we continue to execute in the growth phase of our journey. Non-GAAP gross margins were very strong at 92%, slightly up quarter over quarter and up two percentage points versus last year. Revenue growth, combined with our disciplined approach to expense management enabled us to expand our non-GAAP operating margin by 13 percentage points to 27%. We are on track to deliver further margin expansion in Q4 and approximately 40% non-GAAP operating margin in fiscal 2023. Moving to free cash flow, we generated $267 million in Q3. Over the last twelve months, we generated a record $972 million of free cash flow, demonstrating the power of our subscription model and strength of our products. Lastly, we continue to repurchase shares with our excess cash, which is consistent with our capital allocation strategy. During the third quarter, we repurchased 856,000 shares for $124 million at an average price of $144.49 per share. Year-to-date we have repurchased 1.7 million shares for $264 million at an average price of $156.16 per share. In addition, we paid down another $100 million on the term loan associated with the fourth quarter fiscal 2019 acquisitions and intend to repay the remaining $150 million by the end of fiscal 2020. Now I’ll turn the discussion to our outlook. Our view of global economic conditions and their impact on our business remains unchanged from last quarter. As you will soon hear from Andrew, customers continue to increase their spending on our products even in segments experiencing some near-term headwinds. Our full-year revenue outlook has been updated for the upside we experienced in the third quarter, partially offset by the early signing of some transactions initially targeted for the fourth quarter. At the mid-point of our updated guidance, we are calling for revenue and ARR growth to be approximately 27% and 25%, respectively. Additionally, currency is now expected to drive an incremental headwind of about $5 million to our full year revenue. We are adjusting our ARR outlook as some of the expected Q4 upfront subscription revenue was recognized in the third quarter. Additionally, fourth quarter ARR is being impacted modestly by the currency headwind. As a reminder, we calculate ARR by multiplying our reported quarterly subscription and maintenance revenues times four. Our billings forecast has been updated to reflect our strong performance and the momentum behind multi-year deals. We expect long term deferred revenue to be in the mid 20% range of total deferred revenue at the end of the year. Strong billings and operational execution are driving the upside to our free cash flow outlook for fiscal 2020, which is now expected to be $1.30 billion to $1.34 billion. Looking at our guidance for the fourth quarter, we expect total revenue to be in the range of $880 million to $895 million, and we expect non-GAAP EPS of $0.86 to $0.91. The earnings slide deck on the investor relations section of our website has more details as well as modeling assumptions. Looking out to fiscal 2021, we expect continued strength, with revenue and free cash flow growing in the low 20% range. In line with our normal practice, we will provide a more detailed fiscal 2021 forecast on our next earnings call. In summary, I want to remind everyone that since our business model shift, we have moved to a much more resilient business model that generates a very steady stream of revenues, less exposed to macro swings than when we were selling perpetual licenses. We are committed to driving revenue growth while expanding operating margins. We delivered revenue growth plus free cash flow margin of 62% in the last twelve months and plan to end the year at around 67%. Overall, I'm proud of our performance and are confident of delivering on our near-term and long-term targets. Now, I’d like to turn it back to Andrew.
Andrew Anagnost: Thanks, Scott. As you heard, resiliency of our business model combined with strong momentum in our products and great execution by the team helped deliver another outstanding quarter despite continued uncertainty in some parts of the world. In terms of the macro conditions, demand remained relatively in line with the second quarter. The business environment and our results improved slightly in the UK and central Europe, and our commercial business in China continues to perform well despite a slow down in state owned enterprises. During the quarter Robertson Group, one of the largest independently owned construction companies in the UK to cover the entire construction lifecycle, significantly increased their adoption of our BIM 360 portfolio. The company deployed our software on over 60 projects over the last three years and estimates a 28% increase in productivity. This is an incredible return on investment. We are thrilled to be partnering with a company prioritizing such impressive continuous improvement. In another example, one of the largest automotive parts suppliers in central Europe nearly doubled their EBA commitment with us this quarter. With the move to electric vehicles, the customer knows innovation is needed to stay ahead of the competition. So they are investing in retooling their factory and migrating from 2D to 3D. Our customers understand the benefits of investing in growth opportunities under all kinds of economic conditions. These examples underscore the importance of our products regardless of the macro environment as well as our customers' commitment to investing in technology to stay ahead of competitors. Last week, we hosted 12,000 people at Autodesk University and customers walked away excited about our current products and our vision for their industries. In fact, 32% more customers attended the conference this year than in the previous year. Across the board, customers are looking to Autodesk to help them digitally transform their businesses and make them more competitive. Before I go into strategic updates from the quarter, let me also acknowledge that, for the fifth consecutive year, AU Las Vegas was a carbon neutral event. This sustainable effort is reinforced and expanded by Autodesk’s commitment to achieve company carbon neutrality in 2020. We’re also delivering and continuing to investigate ways to help customers realize their sustainability goals through automation and insights in our technology. In fact, over the next few years, we intend to ramp up our financial commitment to this work by investing approximately 1% of operating profits in the Autodesk Foundation. Now, let me give you an update on some of the key initiatives, specifically our continued traction within Construction, gains in Manufacturing, and successes in monetizing our non-paying user base. These are the initiatives that continue to be key drivers of our business. In Construction, the breadth and depth of our product portfolio continues to make our offerings more compelling for our customers. In the last two years, the number of participants from the Construction industry at Autodesk University increased over seven-fold to approximately 3,500. At AU this year, we announced Autodesk Construction Cloud, which combines our advanced technology with the industry’s largest network of builders and powerful predictive insights to drive more productivity, predictability and profitability for companies across the construction lifecycle. Autodesk Construction Cloud is comprised of our best-of-breed construction solutions, Assemble, BuildingConnected, BIM 360 and PlanGrid, and connects these solutions with Autodesk’s unmatched design technology, such as AutoCAD, and our 3D modeling solutions Revit and Civil 3D. The announcement included more than 50 new product enhancements across the portfolio and deeper integrations, including powerful new artificial intelligence that helps construction teams identify and mitigate design risks before problems occur. Autodesk Construction Cloud is being well received by customers and supports our long-term plan. PlanGrid and BuildingConnected continued their momentum, delivering $113 million in ARR with growth coming from new customers as well as adoption by existing Autodesk customers. During the quarter, one of Australia’s largest construction and infrastructure companies expanded its relationship with us by adding PlanGrid and BIM 360 to its existing product set. The transaction resulted in the largest new product agreement for PlanGrid globally and the largest regional enterprise deal to date. We are helping the company adopt cloud-based technologies to improve project delivery and safety. The depth and breadth of our solutions, that many other vendors in the space cannot deliver, is very appealing to our customers. For example, we enhanced our relationship with EBC, one of Canada’s leading construction companies focused on infrastructure, buildings and natural resources, by adding BuildingConnected to their existing portfolio of Assemble and BIM 360 solutions. Our sales team demonstrated how we could help manage their systems more effectively and prepare them better for the future. We were able to meet their needs for the design and construction phases of the building lifecycle for both the commercial and infrastructure industry segments. We continue to focus our investments on infrastructure, which has performed well in prior downturns. This focus could offer us greater resiliency should the macro environment weaken. We recently announced availability of Collaboration for Civil 3D, which is now included with BIM 360 Design, and enables teams to collaborate on complex infrastructure projects. We also continue to gain market share in the infrastructure space. This quarter we significantly expanded our relationship with JR Group, made up of seven companies responsible for operating almost all of Japan’s inter-city and commuter rail services. As part of our strategic collaboration, all seven of the group’s companies will use our tools such as Revit, CIVIL 3D, and AutoCAD, over competitive offerings to develop a nationwide BIM rail standard. Moving to manufacturing, the business is performing extremely well as we continue to gain share from competitors with steady innovations in generative design and Fusion 360. We believe a large number of small and medium-sized businesses will look to upgrade their vendor stack over the next few years, which is a clear opportunity for us to grow market share. Similar to last quarter, we had a number of competitive displacements of SolidWorks, MasterCAM, and PTC Creo. For instance, a 3D display designer and manufacturer in North America replaced SolidWorks and MasterCAM with Fusion 360 because of its integrated design and CAM capabilities. In another instance, a manufacturer of plastic machined components in the UK displaced SolidWorks and another CAM vendor with Fusion 360 in their design and manufacturing workflow. The company was attracted to Fusion’s cloud based collaboration capabilities in addition to the integrated functionality and price point. Our success in Manufacturing is not limited to small and medium-sized businesses. We are making inroads in larger organizations as well. During the third quarter, Daifuku, chose Autodesk as the best design software partner to move from 2D to 3D solutions. Based in Japan, Daifuku is the worlds leading material handling systems supplier serving a variety of industries, including the manufacturing, distribution, airport, and automotive sectors. With its new EBA the company has standardized on Inventor as its 3D platform and is also considering Revit for future building initiatives. We continue to invest in our Manufacturing solutions, in fact, some of you might have seen the exciting news coming out of Adutodesk University last week. We announced a partnership with ANSYS and our customers will soon have an option to use ANSYS’ simulation solutions while running our industry leading generative design workflows in Fusion 360. We also announced the introduction of a new end to end, design-through-make workflow for electronics in Fusion 360; providing key capabilities such as integrated PCB design and thermal simulation. This is something our customers have been asking for as the market for smart products continues to grow. With Fusion 360, users can take those electronic ideas and physically produce them in the same product development environment, bypassing the current disconnects between design, simulation and manufacturing that make data importing and translation necessary. Lastly, we are looking forward to meeting some of you at our Manufacturing event at the Autodesk Technology Center in Birmingham UK on Monday, December 2nd. At that time, you'll learn even more about our solutions and strategy in the space. Now, let’s close with an update of our progress with digital transformation and how it is allowing us to monetize the non-compliant user base. Our investments in our digital infrastructure have given us unprecedented access to non-compliant users’ product usage patterns. We continue to learn more about these users and are in the process of expanding our compliance programs in additional regions. During the quarter, we signed 19 license compliance deals over $500,000, including three over $1 million. The mix of deals over $500,000 was equally distributed by region and one of the million dollar plus transactions was with a commercial entity in China. Our approach to creating positive experiences for our customers as they become compliant is paying dividends. For instance, one large manufacturer in central Europe was paying for less than 10 manufacturing collections and had some old perpetual licenses. Our data indicated much higher usage. We worked closely with our partner and senior management at the company to identify and fix the non-compliant usage, resulting in almost a million-dollar contract. The experience provided during the process has opened the door for us to discuss competitive displacement to further expand their usage as they now view us as a true partner rather than a software vendor. I am excited about our year to date performance and looking forward to a strong close to the year. We continue to execute well in Construction, and are making competitive inroads in Manufacturing with our innovative solutions. I am also proud of the strides we are making in converting the current non-paying users into subscribers. Twenty years ago, Autodesk was known as the AutoCAD Company, today through the rapidly growing install base of 3D products like Revit, Inventor, Maya, and Fusion 360, we lead the market in bringing the power of 3D modeling and the cloud to all the industries we serve. We are highly confident in Autodesk’s ability to capitalize on not only our near term market opportunity, but also our long-term opportunity connected to the rise of AI driven 3D modeling in the cloud. Because of this, we remain committed to delivering on our fiscal 2023 goals. With that, Operator, we'd now like to open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Saket Kalia with Barclays. Your line is open.
Saket Kalia: Hey, Andrew, hey Scott; thanks for taking my questions here.
Scott Herren: Hey, Saket.
Saket Kalia: Hey, Scott maybe just to start with you just on the ARR guide and the adjustment. It sounded like there was a little bit of a tie-in with the upfront deals that signed in the quarter. I guess the question is, were these upfront deals that were originally expected to come in as subscription, but then came in as upfront? I guess from an ARR perspective I just -- I imagine signing it in Q3 as a subscription wouldn't make as much of a difference to Q4 ARR, but I'd love to just understand the dynamic there around the upfront deals this quarter and how it sort of impacted the ARR outlook for the year?
Scott Herren: Yes. It's a great question, Saket. Thanks for putting it out there. I think you are probably not the only one scratching their heads. Here’s the way you got to think about it. The -- if you step back and think of the way we define ARR, its actual reported subscription plus maintenance revenue for the quarter. And then we annualized it by multiplying by four. So we'll give you a full-year ARR number. What we're really saying is, just what we think our Q4 subscription revenue numbers -- subscription and maintenance revenue number will be times four. What you saw in Q3 is we had a fair amount of upside in the revenue line versus the midpoint of guide revenue was $18 million higher than the midpoint. Some of what drove that was upfront revenue. We always have a little bit of upfront revenue. So we have a couple of products, smaller products that under ASC 606 don't qualify for ratable treatment. So we sell them just like a subscription. They look -- the economics of them looked like a subscription. The customer buys it. They have to renew in 12 months. But under 606 you have to claim on that revenue upfront. It's small product like Vault that fall in this category. What happened in Q3 is we had a handful of deals for this small product set that we felt were coming in Q4. Actually we got closed in Q3, and because they are upfront that revenue moved out of Q4 and into Q3. And there's no tail. There's no ongoing -- all of their revenue is recognized upfront. This happens every quarter, but this was particularly magnified where we had a handful of these deals that we thought were coming in Q4, actually came in Q3 instead. So, good news is Q3 looks super strong. The downside is that creates a headwind to the Q4 subscription and maintenance revenue and therefore to the Q4 ARR calculation. So it's kind of a combination of ASC 606 in the way it treats. So just a small subset of our products and then how that gets rippled through in the way we calculate ARR, which is actual reported revenue times four. What's important to remember is a couple of things. One is, the way the rev rec works is not necessarily -- it doesn't reflect the economics of the transaction. We sell these on a subscription basis and they look to our customers just like any other subscription. So there's changes there are isn’t reflective of any kind of change in the overall economics of our business. I think the second is, when you peel back the growth that we're going to see in subscription revenue this year and you can derive this from the guidance we just gave you, Saket, we see subscription revenue continuing to grow for the full year, because that's an accumulated metric. It's Q1 plus Q2, plus Q3, plus Q4. When revenue moves across quarter lines, it doesn't matter when you aggregate it to the full year. For the full-year we see subscription revenues growing into 29% to 30% range. So still feel strong about that. We just got this anomaly between kind of the way 606 treats a small subset of products and how that gets reflected in our ARR. That's what you see in the ARR guidance change.
Saket Kalia: Yes. Sure. That makes sense. It sounds like those Vault deals were maybe term subscriptions which under 606 kind of requires that that upfront…?
Scott Herren: It has more to do with the product, Saket, than the way we sell it. We sell it just like we sell every other product. 12 months you -- they pay us upfront. They get access to the product at the end of that 12-month period they either renew and continue to use the product or they don't renew and they lose access to the product. So it's really transparent to a customer. It's more -- some of the details of the offering itself under 606 don't qualify for ratable treatments.
Saket Kalia: Got it. If I can ask a quick follow-up for you, Andrew, just to get off accounting. I mean really interesting development in the CAD market. Just more talk about SaaS adoption. Obviously we saw Onshape got acquired. And clearly you compete here with tools like Fusion 360. But curious how you think about SaaS adoption in CAD? And what if anything that deals can mean for Autodesk competitively?
Andrew Anagnost: First off, let me just kind of say that I have a lot of respect for John Herstig and the work that he has done over the years. I’ve respect for Jim Heppelmann and the work he has done in the past. And I think there are important forces in this industry, but the way this is all coming down and characterized is just off. Okay. So let's talk about what we all agree on and what's happening, what's really happening in the markets. So here we all agree on. Multi-tenant SaaS is the future of our business. It's the future of the entire software because I have been saying this for seven years now, okay? Seven years and we've been executing on it for seven years. Fusion 360 is a multi-tenant SaaS offering with the SaaS business model. Here's the other thing we agree on. What does this SaaS means? It means three important things. Data; the cloud is going to revolutionize data flow in the manufacturing and product development industry. Is just going to revolutionize multi-disciplinary data flow, data flow across various parts of supply, it just going to revolutionize data flow, compute, compute power. We're able to deploy compute power through the cloud in ways we've never been able to before, what we do a [general] [ph] design, that's all computed off the desktop. It's all – that is all a cloud compute exercise. And then the last thing I think we all agree on that. We don't – I'll talk about this equally and some of us are actually executing on it, is that we can layer machine learning on top of this data layer and with this compute and we can start doing predictive analytics and all sorts of predictive and insightful studies on top of what people do. Some of our general design algorithms already incorporate machine learning with regards to how they integrate CAM. So we all agree on that. All right? It's the uniform - and we're all building that to some degree. We’re I think quite a bit ahead and I'll get to that in a minute But here is what we don't agree on is how you do it. All right? And there is a big difference between the way Fusion and Onshape works. Fusion has taken a strategy where we have a thin client which is a browser and we have a thick client which is installed on the desktop and worked on that cloud data layer. The thin client and thick clients see the world exactly the same. They can't operate without the cloud behind it. There are dead without it. The reason we have the thick client is we're solving an additional problem. It's end-to-end workflow all the way from design to CAM, electronics and all these things. So we're putting a huge amount of power in there that you want – if you want to get in there in order to solve the bigger problem. Onshape put CAD in the browser, a thin client. We knew from our thin client experiments early on, which is like seven years ago, that don't work, okay? That boat don't float. And one thing we've just seen from this acquisition is we were right. What was Onshape installed base? Eight years into this experiment, 5,000 subscribers. We did more than that. We added more subscribers to the Fusion base in Q3 than that entire installed base. So we're talking tens of thousands of paid Fusion subscribers. And we're talking about 5,000 subscribers for Onshape. We know exactly why, because that thin client only solution doesn't work. You need a thin client and a thick client. Sure the thick client will probably get thinner over time, but that's what you need today. And you also need a new business model with the different prices and the different options. So, we just have a different view of how to do it. And we're pretty convinced we're way ahead. I think the data now -- now that we can see the data, we're now confirming that we're way ahead. But that's kind of where we're at. We all see the world the same way. We're executing on it differently and the market is voting with its wallet.
Saket Kalia: Very helpful guys. Thank you.
Andrew Anagnost: Thanks, Saket.
Operator: Our next question comes from Sterling Auty with JPMorgan. Your line is open.
Sterling Auty: Yes. Thanks. Hi guys. I'm wondering at this part of the transition you mentioned the increase in the maintenance pricing, but what are the additional levers that you have to drive increases in ARR growth on a dollar basis moving forward?
Scott Herren: Sterling, it's a lot of the same factors that we've talked about. So, obviously the renewal base continues to grow. That renewal base comes to us at a better set the price realization than a net new does. We continue to drive growth out of construction. And you saw. We gave you some of the data points both in the opening commentary and in the press release. Construction business drove a $113 million of ARR in third quarter. So, we continue to see strong growth there as well. Well, the core basically grows to a certain degree every year. We've -- I'd say 6% to 8% growth in the core every year. So the same factors we've always talked about that will continue to drive that growth. I think one thing to bear in mind;, we're in year three of the M2S program. And maybe the very first cohort of interest customers we signed. We've locked in their price for three years depends at the end of that time we said they revert to the terminal price, which for that set of customers will be about 11% price increase. We begin to see the front edge of that even for the M2S base that's been locked in. It will start to ripple in the second quarter of next year. So, besides just our annual price increase rhythm that we've gotten on, there is a few embedded price increases that will be coming through over the next few years as well. So, piracy recapture, construction, renewal base growth into an embedded price increases is what will drive it longer-term.
Sterling Auty: Got it. And then the one follow-up would be your kind of surpassed already what you expect in terms of long-term deferred as the mix. You talked about the percentage of multiyear deals. What I'm kind of curious about is what is the collection terms that you're offering to drive some of the collection of these multiyear deals?
Scott Herren: You know, its standard three years upfront, 10% discount. I think you see most companies that sell on an annual subscription basis will offer that kind of 10% is obviously a bit better than the cost of money over three years, but not a whole lot more. And there's no extended ARR terms. There's nothing else that goes with that. What I'd say just to perhaps get it what's underneath your questions, Sterling is, we're monitoring that very carefully. And one of the reasons that I went ahead and gave you some headlights on fiscal 2021 both revenue growing in the low 20% range and free cash flow growing in the low 20% range is I didn't want there to be this building perception that because multi-years reverting to the mean, but that was somehow upgrading a headwind and we wouldn't be able to see the same kind of free cash flow growth next year. Obviously it's an outsized growth this year going from $300 million of free cash flow in fiscal 2019 to 1.3 billion to 1.34 billion this year. But we see that growing another 20% next year in fiscal 2021. So we're monitoring the multi-year -- the percent of sales multiyear very closely. And if we see it begin to run too hot where we think it's not sustainable and it will begin to create a headwind. We'll modify the offering.
Sterling Auty: Got it. Thank you.
Scott Herren: Thanks Sterling.
Operator: Our next question comes from Phil Winslow with Wells Fargo. Your line is open.
Phil Winslow: Hey, thanks guys for taking my question and congrats on a good quarter. Just question on the next year's outlook its building on your comments just now. When you think about the macro comments that you've made in terms of geographies, as well as the different verticals. How are you thinking about the puts and takes for 2021 and then just one quick follow-up to that?
Scott Herren: Yes. Did you say for 2021?
Phil Winslow: Yes.
Scott Herren: Yes. So first off let me comment on kind of how we view things since we talked last quarter. There really hasn't been a fundamental change in our view of the market right now. In fact, a few things got a little bit better, right? The UK and Germany are still performing below our expectations, but they're growing and they showed a slight improvement in Q4 relative – I mean, Q3. I can't see that far in the future yet. In Q3 relative to what we saw in Q2. The same goes for China. We're still not doing any business with the state-owned enterprises, but the business continued to grow just below our expectation. So we actually saw a little bit about firming up not a deterioration in the business, which is a good sign. Now as we look into next year, we're not seeing any fundamental change in the places where we've seen weakness. But more importantly, there's a trend going on that I want you to pay attention to which is a tailwind for us as we move into any situation that we see in the next year and how we feel about next year. People are moving more and more rapidly to the model-based solutions we're deploying and the cloud-based solutions we're deploying, because they see those as fundamental to their competitive shift. There are competitive dynamics. We're seeing a continued acceleration of BIM. That's going to continue into next year. BIM mandates, BIM project specs is going to continue. Inventor and Fusion 360 are growing as we head into next year. And the momentum on construction is solid. In addition to that one of the things that we always see as anti cyclical as we head into any kind of environment is infrastructure, and over the last year we've been investing in infrastructure capabilities in our products and a lot of those are going to show up next year and they're going to show up both with regards to some of our construction portfolio and some of our design portfolio. So we feel pretty good heading into next year. And that's one of the reasons why in the opening commentary we affirmed this low single-digits growth in free cash flow for next year.
Andrew Anagnost: Low 20.
Scott Herren: Yes. Low 20. Didn't did I say it's low 20. Sorry. Thank you for correcting. That would have been -- that would have - definitely have said somebody, that your low 20s -- to low 20% cash flow increase year-over-year.
Phil Winslow: Great. That's great color. Thank you. And then just a follow-up on that for Scott obviously you're not guiding to operating income or operating expenses, but also just help me think about sort of the framework for next year, because obviously this is investment year plus acquisitions, just high level, give us your thought process on the expense side. Then I will get back into queue.
Scott Herren: Okay. Alright. Thanks Phil on that. One of the things that we've said is we expected growth – spend growth and also COGS plus OpEx between 20 and 23 to be in this high single to low double-digit range. If you look at the growth we had this year spend growth and the guidance will be about 9%. But the overwhelming majority of that came via acquisition. So the organic business has been roughly flat now for about four years and there is some pent-up demand for increased sales capacity for continued investment in digitization. So, what I would model for fiscal 2021 is something towards the higher end of that low single to double-digit – sorry, high single to low double-digit range. So closer to the low double-digit range for fiscal 2021, but then averaging out in that high single to low double throughout fiscal 2023. Does that get what you're asking about that?
Phil Winslow: Yes. That's perfect. Thank you very much.
Scott Herren: Thanks, Phil.
Andrew Anagnost: We're experiencing some digit dyslexia here.
Operator: Thank you. And our next question comes from Heather Bellini with Goldman Sachs. Your line is open.
Heather Bellini: Great. Thank you. I guess just two quick ones, but one just following up on what Phil was just talking about. If you look out to next year would you say that the environment that you're expecting the environment to be stronger weaker or the same than what you had this year when you're when you're thinking about the puts and takes of everything you were just talking about? And then just was wondering how do you think about in the context of what you were just saying about expense growth. How do you think about managing operating margins if the macro-environment did start to go against you? I am just trying to think about the trade-off between driving growth versus protecting margins, if you could just share with us your philosophy there? Thank you.
Andrew Anagnost: So we absolutely expect things to stay fairly consistent heading into next year. I like to highlight the counter cyclical aspects of our business right now with regards to BIM mandates, with regards to the momentum around displacing SolidWorks and Mastercam and smaller accounts for fusion with regards to digitization and construction, with regards to infrastructure because these are important things to keep in mind. But our assumptions into next year is places where we saw our soft already continued to be soft relative to our expectations. And we're going to continue to see kind of the same thing heading into the rest of the markets. I'll let Scott comment on the investment model.
Scott Herren: Yes. The only thing I'd add to what Andrew just said before I jumping on spend management is, we do think by the way there continues to be an accelerating opportunity that's not necessarily tied to overall macro spend environment in areas like construction and the momentum that you see us gaining in piracy recapture. Understood management question, Heather, you see us really exercise good spend management muscles for four consecutive years at this point. I feel good about our ability to do that. I mentioned that there is pent-up demand for spend there is. But to the extent that we see the business beginning to trend lower than what we expected of course we'll tighten up on that front. I think it's a muscle that we built. That doesn't -- it's taken time. It doesn't go away overnight. So I think you can expect us to continue to be diligent in management. That said with the revenue growth we're expecting, next year we will not only grow revenues, we'll be able to grow spend and expand margins. We are expecting expanded operating margins next year versus this year. So I think we're pretty well-positioned from a spend management standpoint next year.
Heather Bellini: Great. Thank you.
Scott Herren: Thanks Heather.
Operator: Our next question comes from Jay Vleeschhouwer with Griffin Securities. Your line is open.
Jay Vleeschhouwer: Thank you and good evening. Andrew, I was pretty intrigued by your several references to infrastructure which is a business that as you know once upon a time the Company broke out and it looks as though it's still about a quarter to a third of your total AEC business even after including ACS. And so I'm wondering if that's a business that you might revert to reporting out in some way and also just talk about what you think the growth potential is of infrastructure as a proportion of the total legacy revenue? And then as follow-up longer-term question as well regarding your sales mix. That is to say your 50-50 mix expectations direct and indirect we'd have to wreck potentially be in the store. On that point could you talk about whether you're still confident in the stores becoming half of half or a quarter of the total. What are the limitations you think or risks to that trajectory of growth for the store? And if it doesn't come through how are you thinking about reverting spending or redirecting spending and sales development back towards named account direct and channel?
Andrew Anagnost: Okay. So you asked a couple of questions there. So let me let me start on the infrastructure questions. So, no, we're not going to be breaking out the business or providing any more color on what's percentage. But what I can tell you is that we've made some deliberate investments in rail and road, some of those have already shown up this year, more we're going to show up early next year that are targeted at where we believe some of the sweet spots in spending are going to be in areas where we have strength. You might have also noticed that we moved similar Civil 3D into the BIM 360 design environment. So now the same collaborative power that we have on Revit models is available for Civil 3D models. That's important. That was something that customers were looking for. And another thing we're doing that you'll start to see progress on is this notion of a common data environment, which is really important to infrastructure projects. And it's important to particularly infrastructure projects in Europe, but even in the U.S., people are really interested in these ISO-compliant, common data environment. That's going to be showing up really soon as well. So we have made some clear targeted investments that we believe allow us to go where the real opportunity is in that space. And on top of that, if you've been following what's happening with InfraWorks that products really growing up. And it's integration with Esri, and some of the things we've done there are actually pretty compelling and pretty interesting. Now with regards to the long-term targets, alright, so you're right. Right now about we're at 30% between direct and indirect. And the reason for that is not that the stores growing. The store is growing a lot, all right. It's still our fastest growing channel in the Company, okay? So, our digital direct channel is still the fastest-growing channel in the company. It's a fastest growing. Why isn't it showing more progress towards the goal? The truth the matter is, is that the channel grew well, too, all right. It grew robustly. And I think we should all celebrate that. And at the same time what happens is because right now the store is essentially majority an LT channel. That's not totally true because we sell the whole portfolio there. And we capture a lot of construction solutions usually direct. It's margin neutral right now, because the margin we make off of LT to the channel into the stores the same. So we're getting the same economics. That said, I'm not backing away at all from the 50-50 split or the 25 -- the half of that direct being from the digital direct channels. We're still going to achieve that. Remember, I always characterized that as a long-term target. And there's lots of things that haven't lit up yet that are going to help with that. Things associated with piracy recapture things associated with construction. There's a whole set of things over the next few years that are going to go into tip the balance on that number. So we're still confident. We're getting the economics we want. So we're getting the price realization. We want especially on the things that would most likely go digital direct. So we are still committed to that mix long term.
Jay Vleeschhouwer: Okay. Thank you.
Andrew Anagnost: You're welcome.
Scott Herren: Thanks Jay.
Andrew Anagnost: Thank you.
Operator: Our next question comes from Matt Hedberg with RBC Capital Markets. Your line is open.
Matt Hedberg: Hi guys. Thanks for taking my questions. The results of converting non-compliant users was impressive. I guess, first of all, was this the best quarter for converting these non-compliant users? And then on a go-forward basis should we expect more of the same as this cadence or are there additional steps that can, in fact, convert even more of these users?
Andrew Anagnost: So Matt, here here's a few things I wanted to characterize there. First off, we're absolutely on the plan that we always intended for this model. Every year we're taking a set of steps that we believe we are going to materially improve our penetration into the non-compliant base. And every year there'll be a set of new steps that we believe will provide some additional ramp-up in that space as well. So what do we do this year? We rolled out in product communication and tracking of how the priority of user journey -- the non-compliant user at journeys through the lifecycle of learning their non-compliant and what options they take as they travel through that cycle. We introduced those things we rolled it out throughout the year across more and more countries. And yes, we're seeing results that we expected primarily through two things. One, we're increasing better leads to our inside license compliance teams and we are converting people digitally as well through some of the digital communication. But the digital communication also creates these better leads. To put in context we have to kind of get a sense for what happened. Last year we did 21 deals over $500,000 in piracy whole entire year, 21 deals. In Q3 alone we did 19 deals over $500,000. So you can see yes, we are seeing increases in momentum. And there's a whole slew of things that we'll talk about later. There will be doing next year that will provide us to not only get even more intelligence on this space but make it more challenging for the base to jump to another pirated solution. Okay? And that will be a discussion for later. But this is to plan. Every year there's something that rolls out and every year we seem to be getting the results that we want from this program. And given what we know we're doing next year we feel confident we're going to continue to get the results we expect to get.
Matt Hedberg: Super helpful, Andrew. And then maybe, Scott just a quick one for you. On the multiyear renewals it's good to hear that, these are renewing closer to list price. Just a quick question, I wonder if you could comment on the churn you're seeing for these? Is it about what do you expect? That piece would be helpful.
Scott Herren: Yes. Matt it is. And to be clear what I was talking about it is if you remember in Q3 of fiscal 2018, as we started down this path of selling nothing but subscriptions, we offered a promotion for legacy customers turning in your perpetual license. And for a 50% discount you can get three years of the same product on product subscription. That was actually quite a successful. If you remember we get over 40,000 of those. That three-year term came due during this last quarter. While we saw, we expected there to be a higher than normal churn rate and we didn't see that. But the aggregate value of that customer set actually grew. So I think the promotion was quite successful. I've got people to try to move over to the product subscription and the aggregate value after renewal and they renewed closer to list, not in a 50% discount grow over that timeframe. So it was successful, but it did create a little bit of a headwind on our volume renewal basis.
Andrew Anagnost: On a unit basis.
Scott Herren: On a unit basis. Remember we started talking about renewal also as net revenue retention rate or sometimes I'll call it in our three -- and our three for the quarter continued to run in that 110% to 120% range overall. So this was -- it was accretive to that metric.
Matt Hedberg: That's great. Well done guys. Thanks Matt
Scott Herren: Thanks, Matt.
Operator: Keith Weiss with Morgan Stanley. Your line is open.
Hamza Fodderwala: Hey guys. It's Hamza Fodderwala in for Keith Weiss. Thank you for taking my question. I just wanted to go back to the fiscal 2020 ARR outlook. So it looks like it was lower by about a 0.5 at the midpoint part of that was FX. And some of that was upfront revenue. Any sense that we could get for the magnitude of the greater upfront revenue because I mean to me it seems like the macro situation in Europe and North America was sequentially better. So I guess why wouldn't that carry forward into Q4 and reaffirmed the 25% to 27% growth outlook that you gave last quarter?
Scott Herren: Yes. Tom, the amount of upfront revenue that moved from Q4 back into Q3 was about 5 million. So that was -- that contributed to the upside in Q3 revenue. But remember the way we do ARR, subscription revenue times four. That by itself was a $20 million headwind to ARR in the fourth quarter. The fact is – but remember, that's upfront revenue. So there is no tail of deferred once we put that in. And because of 606 we have the claim all that revenue upfront. There is no Q4 impact of those. It just moved from Q4 back into Q3. That you see the full-year revenue. We see we've guided that point up, because float revenue is an accumulated metric. It's one plus Q2 plus Q3 plus Q4. ARR just taken a snapshot of Q4 subscription and maintenance revenue and multiply by four. So the midpoint of that ARR guidance change was $30 million. Twenty of it was just driven by this effect was about $5 million of incremental headwind from FX and about the same amount of just product mix. Does that does that clear up in your mind the move from Q4 back to Q3 and why it's an impact to ARR?
Hamza Fodderwala: Yes. So i guess ex those changes, would ARR growth have been sort of reiterated if it wasn't for those onetime impact?
Scott Herren: Absolutely. Exactly. And the interesting thing about this Tom is, the economics of our business by the way are completely divorced from the rev ramp issue that we're talking about. The economics of the business are unchanged. It just between having the claim that as non-ratable upfront revenue and moving it back into Q3, and the way we define ARR as quarterly revenue. It's that combination that drove the change in Q4 ARR.
Andrew Anagnost: Yes. This is an interesting collision between the way we define ARR and the 606 accounting rules.
Hamza Fodderwala: Yes. It's always exciting. So I guess just one quick follow-up. So the billings obviously came in much stronger than expected. To what extent is the shift to multiyear deals performing better than you expected coming into the year? And should we expect that long-term DR mix to continue trending higher because it's already kind of around the mid-20% range of total that we've seen historically? That's it for me.
Scott Herren: Okay. Thanks for that too. Billings growth at 55% and over a $1 billion of billings in Q3 super strong. And the biggest factor driving that is the growth of our renewal base. That has nothing to do with multi-years. Is just the overall growth of renewal base. Beyond that the contribution from our construction business, construction continues to perform really well. With the noise around the ARR guide, we haven't really focused on the success of our construction business as much as we probably should have. It continues to perform really well and it's driving upside to our billings as well. Multi-year is part of it and you're right, we're already add long-term deferred at about 25% of total deferred. If you go back historically by the way, back into fiscal 2017 and 2018 before we began this transition, by long-term deferred ran as high as 30% of total deferred at one point. I don't think it gets back to that level. I think we keep it in this low to mid-20% range in terms of long-term as a percent of total. To the extent that it ran hot and I said this earlier in other words we were selling more multi-year than I thought we could sustain longer-term. I'd like to make a change in the offering. What I don't want to do is drive volatility and free cash flow because of the offering we've got out there for multiyear. At this point I don't think we've done that. But if it continued to accelerate that something we take a look at.
Hamza Fodderwala: Thank you very much.
Scott Herren: Sure.
Operator: Our next question comes from Brad Zelnick with Credit Suisse. Your line is open.
Brad Zelnick: Great. Thanks so much for fitting me. Andrew, you highlighted the launch of Autodesk Construction Cloud at AU this year. What excites you most about the offering? How is the customer feedback into the launch? And how do you see it driving growth next year?
Andrew Anagnost: Yes. What excites me a lot about this is the way we are unifying the whole entire stack around this common data environment and it's a real great return on the investment we made in BIM 360 docs, because that entire environment is becoming the common data environment and PlanGrid integrating into it, BuildingConnected integrating into it. The existing BIM 360 stack has already integrated into it. And everybody is looking at this insight internally within the development saying wow this is this is an amazing opportunity for us to bring these things together. So the whole ability to have a conversation with the customers about here's the umbrella brand and how we're bringing all these things together so that they actually communicate is a really exciting part of this. And I think it's going to come rapidly and customers are going to be delighted. When we rolled it out there were 50 new enhancements and there's a reason why those 50 new enhancements were in there is because we invested in acceleration of the integrations with respect to some of these things were moving faster not slowing down. I'm really excited about the pace of what's going on. I'm excited about what the team has been doing. And I'm frankly excited about how well we're winning in the market. People look at what we're doing. They look five years out at the landscape and they say okay I'm going to place my bet with Autodesk. And I think that's a credit to the team. I guess, credit to the momentum they've kept in here. And I think the whole story around construction cloud and the way they rolled it out and told you it is really a great piece of work by the team. So I'm really proud of them.
Brad Zelnick: Awesome. And Andrew, if I could just add another one for you. Your results seem to demonstrate continued success in executing on M&A. How should we think about your appetite for additional deals in both construction and manufacturing?
Andrew Anagnost: Well, we've always said that as we look out to the business we will continue to be acquisitive as we were in the past at the very least. We always look at the market for organic and inorganic opportunities. Right now we feel like our construction portfolio has most of what it needs. We're partnering aggressively. We could potentially do tech tuck-ins around the construction solution. As we look into other parts of the market you know we'll just have to wait and see. What you see as we've demonstrated an ability to capture significant inorganic targets integrate them and turn them into results. And I think that's one of the things you should notice regardless of whatever we do in the future that we become a serious machine around focusing around what are the real inorganic opportunities, how do we bring them in and then how do you make them successful. And that's our commitment to our customers and to the market.
Brad Zelnick: Excellent. Thanks so much.
Scott Herren: Thanks, Brad.
Operator: Thank you. And our last question comes from Jason Celino with KeyBanc Capital. Your line is open.
Jason Celino: Hey guys. Thanks for taking my question. Building off the last question about the construction cloud announcement, sounds like it's more of a branding grouping all your portfolio products. But what was some of the initial customer feedback that you've heard?
Scott Herren: Yes. The customer feedback has been really solid and here's why, because if the customers don't react to the branding, they don't spend a lot of energy on that, but they do is they react to what we do. All right. So we like the branding because it helps us communicate simply. We were not propagating multiple brands out there. It allows us to focus our go-to-market efforts. It allows us to communicate more precisely at the company. The customers pay attention to what have you done for me. And what they were excited about at the Connect and Construct Event and all the discussions there is the feature velocity. All right. They're seeing us delivering on the integrations that we said we were going to deliver and there are watching us closely. Every quarter they're going to see, do we do we say we're going to do? Do we do we said we were going to do. So that's what the customers are excited about. They really loved the fact that we're integrating to a common data environment and we're building an ISO standard excepted common data environment. That's something that everybody gets us sums up on. They're really excited with the increased scalability and performance on BIM 360 design which was an area where they were kind of pushing on us a little bit. So those are the kind of things that customers are paying attention to. The branding makes it easier for us to tell the world what we are doing, so that you're going to see us basically amplify that, but the customers care about what we do not what we say.
Jason Celino: Great. Appreciate the color. Thank you.
Scott Herren: Thanks Jason.
Operator: Thank you. And that ends our Q&A session for today. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.